Operator: Greetings and welcome to the Azenta, Inc. Q4 2025 Financial Results. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question and answer session. At that time, if you have a question, please press star followed by the one on your telephone. As a reminder, this conference is being recorded Friday, 11/21/2025. I will now turn the conference over to Yvonne Perron, Vice President, F. And A and Investor Relations.
Yvonne Perron: Thank you, operator, and good morning to everyone on the line today. We would like to welcome you to our earnings conference call for 2025. Our fourth quarter earnings press release was issued before the open of the market today and is available on our Investor Relations website located at investors.azenta.com in addition to the supplementary PowerPoint slides that will be used during the prepared remarks today. Please note that effective 2025, the results of B Medical Systems are treated as discontinued operations. I would like to remind everyone that during the course of the call, we will be making a number of forward-looking statements within the meaning of the Private Litigation Securities Act of 1995. There are many factors that may cause actual financial results or other events to differ from those identified in such forward-looking statements. I would refer you to the section of our earnings release titled Safe Harbor Statement, the Safe Harbor Slide on the aforementioned PowerPoint presentation on our website, and our various filings with the SEC, including our annual reports on Form 10-Ks, and our quarterly reports on Form 10-Q. We make no obligation to update these statements should future financial data or events occur that differ from the forward-looking statements presented today. We may refer to a number of non-GAAP financial measures, which are used in addition to, and in conjunction with results presented in accordance with GAAP. We believe the non-GAAP measures provide an additional way of viewing aspects of our operations and performance but when considered with GAAP financial results and the reconciliation of the GAAP measures, they provide an even more complete understanding of the Azenta business. Non-GAAP measures should not be relied upon to the exclusion of the GAAP measures themselves. On the call with me today is our President and Chief Executive Officer, John Marotta, and our Executive Vice President and Chief Financial Officer, Lauren Flynn. We will open the call with remarks from John, then Laurence will provide a detailed look into our financial results and our outlook for fiscal year 2026. We will then take your questions at the end of their prepared remarks. With that, I would like to turn the call over to our CEO, John Marotta.
John Marotta: Thank you, Yvonne. Good morning, everyone, and thank you for joining us today. As we reflect on fiscal 2025, I want to begin by recognizing our Azenta employees around the world. Their dedication, resilience, and unwavering focus on our customers and our purpose—enabling breakthroughs faster—have been the driving force behind our successes to date. At the start of the year, we set out to refocus the organization, put the customer at the core of everything we do, to simplify how we operate, to improve execution, and to build a company positioned for durable, profitable growth and long-term value creation. We've made considerable progress, but we have more to do, which excites us about the road ahead. The opportunities in front of us are significant. We're energized by the potential to deepen our impact, sharpen our execution, and continue delivering for our customers, our employees, and our shareholders. We've created a simpler, more accountable organization through the implementation of the Azenta business system, ABS, which is the framework for how we operate. It brings together lean principles, daily management routines, and structured problem-solving. This year, we trained teams and conducted kaizens in manufacturing, commercial, and support functions, and delivered measurable improvements in quality, on-time delivery, and overall productivity. These results are just the start. What's most meaningful is the cultural shift and momentum. Operational excellence is no longer just a goal. It's embedded in how our teams work every day. Employees are identifying inefficiencies and driving change from the ground up. We have simplified our structure. We have moved from a complex centralized model to one that empowers our operating companies with clearer accountability and greater agility. Decision-making is now faster, closer to the ground, and grounded in data and outcomes. We reinvested savings in line with our growth priorities: innovation, sales, marketing, and product management. These changes are making Azenta a more growth-focused and efficient company. The strength of our balance sheet, with over $500 million in cash, cash equivalents, and marketable securities, gives us the financial flexibility to invest with discipline across four strategic levers: driving productivity, accelerating organic growth, returning capital to shareholders through share repurchases, and pursuing targeted tuck-in M&A. We will have clear accountability for outcomes, reinforcing our commitment to value creation and operational excellence. We remain well-positioned to invest for our future while delivering sustainable returns and creating long-term value. In fiscal 2025, we achieved 3% core growth and delivered meaningful margin expansion of 310 basis points. Beyond our financial results, we took decisive steps to reshape our commercial organization. With the right leadership in place, an expanded field presence, and a sharpened go-to-market targeting, we're well-positioned to serve our customers and accelerate our growth trajectory. It's important to recognize that all of this took place amid a volatile and uncertain macro backdrop, characterized by softer academic and NIH funding, shifting biopharma priorities, and ongoing geopolitical uncertainty. Yet, through these challenges, Azenta demonstrated its resilience. Our differentiated portfolio delivers critical solutions that uniquely support customers, ranging from sample management of irreplaceable assets to automated product workflows, warehouse and inventory optimization, and comprehensive testing of samples and data that underpin life research and production. We're confident not only in our ability to navigate volatility but to capitalize on it. This environment has also created opportunities. As customers look to do more with less, they are consolidating partners, outsourcing non-core operations, and investing in automation and digital workflows—all areas where Azenta is positioned to lead. We're seeing new partnership discussions emerge precisely because of our reputation for expertise, quality, reliability, and execution. Our customers are looking for partners they can trust, and Azenta is that partner. As we look ahead to fiscal 2026, we are entering the year from a position of strength. Although macroeconomic uncertainty continues to persist, we have reshaped the organization, instilled a culture of accountability and continuous improvement, and set a strong operational foundation. Our priorities are clear: continue to deliver core growth and margin expansion, embed the Azenta business system deeper across the organization to further improve our operational discipline and productivity, and deploy capital optimally in a disciplined approach. We anticipate core revenue growth between 3% to 5% and expected adjusted EBITDA margin expansion of 300 basis points, and higher free cash flow generation as we scale our operational improvements. With a leaner structure, growth initiatives, enhanced ABS discipline, and a strong balance sheet, we believe we're positioned to outperform the market. Next month, we will host our Investor Day, where we will outline the next phase of the Azenta journey, including our multiyear growth strategy, long-term financial framework, and capital deployment priorities. We look forward to sharing how our strategy positions us for profitable growth and value creation. We are a stronger company today operationally, culturally, and strategically, and we are confident in the path ahead. With that, I'll turn the call over to Laurence for a detailed review of our financial results.
Laurence Flynn: Thank you, John, and good morning, everybody. I'll start by sharing with you our fourth quarter and full-year fiscal 2025 results, then discuss our segments, provide an update on our balance sheet, and then close with guidance for fiscal 2026. But first, I want to take a moment to echo John's comments. Fiscal 2025 was truly a pivotal year for Azenta. As we close the year, we're encouraged by the internal business momentum and excited to carry that progress forward into fiscal 2026. The results we are discussing today exclude B Medical Systems, which is reported in discontinued operations unless otherwise noted. In the fourth quarter, we recorded an additional non-cash loss on assets held for sale of $4 million on B Medical. We believe the transaction remains on track to be announced in calendar 2025. To supplement my remarks today, I will refer to the slide deck available on our website. We'll begin on slide four with a few highlights. Fourth-quarter revenue was $159 million, up 6% year over year on a reported basis and up 4% organically, with Multiomics delivering a record quarter. Fiscal year 2025 revenue was $594 million, which was up 4% on a reported basis and up 3% organic, despite a macro environment that became more challenging as the year progressed. Strong performance in next-generation sequencing, clinical biosource, sample repository solutions, and consumables and instruments contributed meaningfully to these results. Non-GAAP EPS for the fourth quarter was $0.21 and was $0.51 for the full year. I'm pleased to report an adjusted EBITDA margin of 13% in the fourth quarter and 11.2% for the full year, representing expansion of approximately 230 basis points in Q4 and 310 basis points for the full year. These results reflect the continued benefits of our operational turnaround and disciplined cost execution, delivered in the face of a challenging macro environment. We believe we have meaningfully more margin expansion potential and are confident we can achieve it while also accelerating our top-line growth. Free cash flow, including B Medical, was a usage of $6 million for the quarter, driven by the timing of revenue and project-related milestone billing. For the full year, free cash flow was $38 million, a notable improvement of $26 million year over year, driven by improvements in working capital. Excluding B Medical, we ended the year in a strong financial position with $546 million in cash, cash equivalents, and marketable securities, providing us with the flexibility to invest in growth initiatives and return value to shareholders over time. We closed fiscal 2025 with a healthier, more efficient business, sustained operational momentum, and the financial strength to invest in our growth priorities. Now let's turn to slide five to take a deeper look at our results in the quarter. Total revenue of $159 million represented a 6% growth on a reported basis and 4% on an organic basis. As I already mentioned, Multiomics delivered a record quarter. Solid contributions from next-generation sequencing, automated stores, and sample storage were the primary driver of growth that helped offset softness in other areas of the portfolio. In the fourth quarter, non-GAAP gross margin was 46.7%, down 20 basis points year over year. The modest decline was driven by performance in multiomics, partially offset by favorable product mix gains from operational efficiencies and improved cost execution, mainly in Sample Management Solutions. Overall, the net impact was limited, demonstrating the resilience of our business amid a challenging macro environment. Adjusted EBITDA was $21 million, representing a 13% margin, expanding both year over year and sequentially. This improvement reflects the leverage from our cost actions and our disciplined focus on operational performance. Again, non-GAAP EPS was $0.21 per share. Overall, these results underscore consistent progress towards our profitability objectives, driven by improved efficiency, disciplined cost management, and stronger execution. With that, let's turn to slide six for a review of our segment quarterly results, starting with Sample Management Solutions, or SMS. SMS revenue was $86 million for the quarter, up 2% reported and flat organically. The performance reflects softness in cryogenic stores, driven by slower bookings due to ongoing customer budget constraints and a tough compare to last year's record quarter. Consumables and instruments performed well both year over year and quarter to quarter. While both automated stores and sample storage grew, customers continued to delay CapEx decisions due to macroeconomic uncertainty. SMS fourth-quarter non-GAAP gross margin was 49.3%, up 180 basis points year over year, as a result of the favorable shift in product mix and improved operational execution and cost management. Turning next to the Multiomics segment. Multiomics delivered record revenue of $73 million in the quarter, the highest ever for the segment, representing 11% growth on a reported basis and 10% organic growth. Continued strength in next-generation sequencing was the primary driver, with sequence volume rising 50% year over year. We saw strong performance across all geographies, aided by large deals in Europe that contributed to the record quarterly revenue. Despite macro and geopolitical headwinds, our team continues to outperform in China, posting 17% organic growth for the quarter. Encouragingly, gene synthesis revenue grew low single digits year over year, achieving the highest quarterly revenue in 2025, driven by strong demand in China and continued wins in oligo production. We continue to actively monitor the macro environment where customers are reprioritizing projects and remapping pipelines. Sanger sequencing revenue declined low double-digit year over year, consistent with trends we've discussed in prior quarters, though the pace of decline moderated in the quarter. Revenue growth in PLASMID EZ, our Oxford nanopore-based solution, remains strong and continues to largely offset the decline in traditional Sanger revenue. Multiomics non-GAAP gross margin for the fourth quarter was 43.7%, down 260 basis points year over year. The decline was primarily driven by product mix and lower volume in Sanger sequencing and gene synthesis. Now let's turn to slide seven for a review of the balance sheet. We ended the year with $546 million in cash, cash equivalents, and marketable securities, excluding the medical. We had no debt outstanding. This strong liquidity position provides us with the strategic flexibility to invest in growth initiatives, support operational needs, and maintain a disciplined capital allocation framework. Capital expenditures for the quarter were approximately $8 million, reflecting continued investment in automation, capacity expansion, and technology to support scalable growth. Turning to guidance on Slide nine. For fiscal 2026, we anticipate organic revenue growth in the range of 3% to 5%. Multiomics is expected to deliver low single-digit growth, while Sample Management Solutions is expected to contribute mid-single-digit growth. Our guidance reflects continued uncertainty in the macro environment, particularly around capital spending, as well as moderated growth in next-generation sequencing as volumes normalize. Based on these factors, we expect a slower start in the first half of the year and anticipate first-quarter revenue to decline approximately 1% to 2% year over year. We expect the second half of the year to accelerate as our commercial investments and growth initiatives gain traction, giving us confidence in our full-year guide. On the profitability front, we are targeting approximately 300 basis points of year-over-year adjusted EBITDA margin expansion, driven by continued operational efficiencies, disciplined cost management, and scalable operating leverage. We expect to improve free cash flow generation by over 30% year over year. We look forward to sharing more information about our growth priorities and longer-term financial and capital allocation framework at our Investor Day in December. We will outline how these strategic initiatives position Azenta for sustainable, profitable growth, and most importantly, value creation. In closing, we are pleased with our performance in fiscal 2025. We reshaped the company structure, strengthened our operational foundation, and generated strong financial results despite a challenging macro environment. The progress we've made positions us well for fiscal 2026. This concludes our prepared remarks. And I will now turn the call over to the operator for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press star followed by the two. If you are using a speakerphone, please lift the handset before pressing any keys. Your first question comes from David Saxon with Needham. Your line is now open.
David Saxon: Great. Good morning, John and Laurence. Congrats on the quarter. So maybe I'll start with guidance. So 3% to 5% growth, I guess, you know, what do you think the market's going at this point? And then the decline in fiscal first quarter down 1% to 2%, what's driving that across businesses or even, you know, product categories? And then I think you'll lap the NIH funding dynamics in the fiscal first half. So would love to hear what's baked into guidance in terms of that impact. And then I'll have a follow-up.
John Marotta: Sure. You bet, David. Good to be with you, and thank you for the questions. Let's talk about the macro, and then I'll hand it over to Laurence to get into the numbers. But a lot of what we're seeing is this slowdown on capital expenditures. That's continued to impact our stores in cryo. And we're seeing some green shoots around that, particularly in the EU, and seeing less traction in the U.S. right now. There's some booking softness, of course, the government shutdown from last month is really weighing on some of the guidance. The way to think about it is that midpoint is four, and that contemplates some deterioration in the macro on the low end. On the upper side, it's just a slow gradual improvement over the year. Regarding what we think the market is doing, we think the market is 1% to 2%. We're still an outgrowth story. And that's kind of how our view of this is shaping up for 2026. One thing to note is we're not focused on the first quarter, the first half. We're focused on delivering the year like we were this year. And that's really what the teams are laser-focused on.
Laurence Flynn: Yeah, David, this is Laurence. How are you doing? Let me give you a little color on 1Q, and really John's touched on it a little bit, but a couple of things inform our view. Right? So the macro slowdown, the CapEx really will continue to impact our automated storage business in cryo, right? As John mentioned, we are seeing some green shoots in Europe, but right now not seeing much traction in the U.S. currently. The second is really the government shutdown. Right? Overall, we were down about forty-five days. John and I have heard from our customers that new grant reviews and approvals were paused during that time. And so it's going to take a bit of time to work through that through the system. So we don't expect this to impact the full year, obviously. But some of these bookings will push out to future quarters. As far as the proportion of the impact on the negative growth, I would say macro slowdown on CapEx was about two-thirds and about one-third is related to government funding.
David Saxon: Okay. That's super helpful. Thanks for that. And then the follow-up, I guess, is just on SMS growth for the year. So mid-single digits, you just talked about some weakness in stores and cryos. So I guess last quarter, talked about the C and I backlog was like 2.5x annual sales. So, you know, maybe if you could, can we get an update there? Like, how much of that is driving your confidence in the mid-single-digit growth? And then, you know, how are you thinking about SRS for the year? Thanks so much.
Laurence Flynn: Yeah. Look, I think we've for C and I, we feel really good about where we are. Some of the things that you'll see that inform why our SMS is mid-single digit is, and John and I talked a bit about really reinvesting in commercial. In fiscal 2025, we did that in GENEWIZ. What you're seeing in fiscal 2026 is we've put in a commercial engine, new leadership, and right now, they're putting investments to work on feet on the street. That's one. So that's going to read through across all our SMS business lines. Now to talk a little bit about SRS, you know, we expect robust growth in SRS. Really through two things, right? You'll see that our commercial engine really starts to move. We just put a new leader in place. Additionally, there is, and we talked a bit about this, we have an initiative in SRS particularly to optimize our price, and that's going to read through starting at the end of fiscal, sorry, at the end of the first quarter. So those are two major components. And why we feel really good about SRS is really we've seen actually recently our commercial leaders close two meaningful big deals in the areas of manufactured and bulk compounds.
David Saxon: Okay. Great. Thanks so much for that.
Operator: You bet. Next question comes from Mackie Tok with Stephens. Your line is now open.
John Marotta: Maybe having an issue with Mac right now. Let's go to the main Mac, are you there we go. Oh, there we go. Hey, Mac.
Laurence Flynn: Apologies. Sorry about that. You think I'd be able to find the mute button by now.
John Marotta: No problem.
Laurence Flynn: That's alright.
Mackie Tok: As you highlighted, the macroeconomic backdrop is still a little bit challenged, specifically around capital equipment. But I'd love to just get an update on what you're seeing across your various customer bases at this point.
John Marotta: Sure. We're seeing pharma, of course, we're tapping into the profit pools of pharma and biotech right now. We're seeing strength in pharma. So there's spending going on there. There's some repositioning around projects in pharma right now. With some of the restructuring that was going on, some of the projects were put on hold. We're seeing some of that get unstuck at this point in time. So there's clarity around that. That means there's clarity with our Multiomics business in terms of what we're supporting from a testing perspective, from a synthesis perspective. We are seeing some investments and some clarity around optimization in biotech. Biotech is holding tight right now in terms of CapEx more so than pharma. And then we're seeing we were seeing a little bit more clarity in the academic and the government side, but that really started to slow down with this government shutdown. But all in all, it's more of a pharma story at this point in time.
Mackie Tok: I appreciate the color there. And then in terms of multiomics, the low single-digit guide, I think that's roughly in line with what people were expecting. But can you just parse out the various aspects that are contributing to that expectation for the year?
John Marotta: Sure. You bet. More around on the macro side, and I'll hand it over to Laurence on the numbers. But on the macro, it's really this normalization on NGS. So, you know, past the technology curve, price normalization, volume normalization, those sorts of things, that's really what we're looking from a multiomics perspective. Laurence, you want to give some color on the numbers?
Laurence Flynn: Yes. Look, Mackie, first off, we are really pleased with our fourth-quarter results for Multiomics. The team did a great job. Let's talk specifically a bit about multiomics. A couple of things to note, and John alluded to this, what you're going to see around multiomics, particularly NGS, is a bit of this normalization. So we expect NGS through the year to be roughly mid-single digits. As you may recall, we've kind of lapsed this price challenge in the prior year. We saw a lot of volume pickup. So seeing that double-digit number in fiscal 2025, you'll see that really kind of normalize back to mid-single-digit growth. Again, we feel really good about what the team has been doing, particularly around the NGS space.
Mackie Tok: I appreciate the color. I'll leave it there.
John Marotta: Thank you.
Operator: Your next question comes from Andrew Cooper with Raymond James. Your line is now open.
Andrew Cooper: Hey, everybody. Thanks for the questions. Maybe a similar one to one that was just asked, but on the SMS side of the house, in terms of that three to 5% and maybe calling back or sorry, mid-single-digit growth and then maybe calling back to the comment on optimizing price for fiscal 2026. Can you give a little framework for how you think about each of the segments? And then how much is price contributing when we think about that mid-single-digit goal versus volume on an apples-to-apples basis?
John Marotta: So just in terms of the portfolio durability with SRS specifically, I mean, you're looking at contracts of 7% to twenty-five years, extremely stable, reoccurring revenue. Is in the 90 range in that part of our portfolio. And so we do have contractual obligations around price in particular. So a lot of strength in that. We really have not taken advantage of that in the past, and we're starting to do that now going forward in terms of sharing the value with our customers in terms of what we deliver. Laurence, you want to talk about give you some of the color on this?
Laurence Flynn: Yeah, absolutely. Let's start with SMS. Look, we've talked a bit about this slower start for the first quarter and first half on capital expenditures on STORES and cryo. We expect this to pick up in the second half of the year. When you look at C and I, the team continues to do well. As you probably know, with respect into the workflows, right? There's a bit of this speed bump around the government shutdown, but overall, we expect to see this continue to be a very good business for us. Around SRS, again, talked about a lot of the long-term contracts. We've got a new leader in place that's done a spectacular job. Like I mentioned earlier, we've won two pretty big deals in manufactured and compounds, and feel pretty good about what we're seeing early on in fiscal 'twenty-six. Now let's talk a little bit more on multiomics. We've touched on NGS. Gene synthesis, we've seen some favorability coming off the fourth quarter. We think this area is stabilizing nicely. And then on Sanger, look, this is still slow. We are seeing that plasmid DZ is offsetting that loss there. I think that's going to be a trend that continues. I think the other question was around price. You know, look. We've talked a bit a little bit about this kind of price optimization. Where we're seeing our ability to optimize our price is two areas: C and I, and then in SRS. And let me kind of double click into SRS. You know, one of the examples we're seeing historically in this business is we were constrained by our systems to deploy contracted, meaning it's built into our customers' contracts. We were not able to really deploy this effectively annually. Know, the team has already done a good job and through the business system streamlined that process. Really, those are really the key areas that I refer to around price optimization.
Andrew Cooper: Okay. Helpful. And then maybe one, John. You mentioned some of these moves to enable some of the different components of the business to make decisions closer to the customer. I guess, maybe frame that relative to a history where I think there was some siloed aspects of operations that really needed to come together and get integrated a little bit more. So how do we balance those two sort of ideas and comments would love the framing of how they fit together in context of that 300 basis points of margin that I think is encouraging in a three to 5% top-line environment.
John Marotta: Of course. Sure. Sure. Happy to. I think this is really important in terms of our go-to-market and how we're aligning the organization from a product line P and L perspective and really having general managers and product managers aligned around these specific segments. We optimize and get synergies where it makes sense. And so we're moving from this very functionally aligned centrally aligned organization to a decentralized model. And you have that specifically built around, as I stated, around these product lines and these product managers. And so we've got general managers specifically in place now in all of the businesses. So that's kind of the first step in this. And there's clarity around that in the organization. And more importantly, it's putting R and D back into the businesses, product management into the businesses, sales and marketing back into the businesses. And then you have this regional go-to-market model where SRS we've got a leader in SRS, but we also have specific leaders around better storage management. And we've got a clear expert that's leading that right now. We've got clarity around our go-to-market and who's leading that. All of those individuals are new in their roles. In C and I and in STORES and cryo, very similar where we have a regional go-to-market model. The team is doing a great job by our European leader who's there now, and we just hired a new U.S. or North American leader as well. Doing a great job. So out with customers all the time, the decision-making is at the point of impact regionally now. And so that's really it's really given the organization a lot of clarity. Similar to GENEWIZ and our Multiomics business, we moved to a regional go-to-market model. And it's working, and we're seeing a lot of green shoots around that specifically. So the point is there's more credibility the closer you are to the customer, and we've really structured the organization around that. Synergies are around the systems, reporting systems, management information systems. We've really streamlined that. That makes a lot of sense to do that. But from an operating structure, we always talk about people structure process. Our structure is extremely nimble right now because it's very aligned around these product categories where you've got clarity around your R and D roadmaps and those sorts of things, and then there's regional go-to-market. So I appreciate the question. Thank you for that.
Andrew Cooper: Awesome. Thank you.
John Marotta: You bet.
Operator: Your next question comes from Vijay Kumar with Evercore ISI. Your line is now open.
Vijay Kumar: Hi, guys. Thank you for taking my question and congrats on a nice pretty share. Maybe, John, on this macro comment that you're making on CapEx and the shutdown impact. We haven't heard that from some of your other life science tools peers. So curious on the trends that you're seeing, maybe just elaborate on that. And what are you assuming for the segments here in Q1 to get to the minus one to minus two?
John Marotta: Sure. So we're seeing strength in the outsourcing trends, of course, because they want to outsource and partner with experts. And that's continuing. But where the pause and the softness was, specifically around some projects with NIH and those sorts of entities that we do business with. People were just hitting the pause button right now through the government shutdown. We're starting to see kind of that being lapped, but this was an impact in the forty-five days. So real impact to the organization. Mostly, you know, mostly weaker in multiomics. Laurence, you want to give some color on?
Laurence Flynn: Yes. Look, I think on the first quarter, kind of the CapEx and around the government shutdown, you'll see on the CapEx, obviously, that's weaker from a negative growth perspective in SMS, right? And then around the government shutdown, it's leaned to John's point more on the multiomics segments. There's a little bit in our C and I. But again, really, we still see that the full year, we are super bullish about kind of where we're gonna land. Normally, Vijay, we really don't guide quarterly. Our teams, John and I, really focus on hitting the year. But and then we still kind of commit to that.
John Marotta: Vijay, one other comment I would note. We went out recall when at the beginning of the year, there was a lot of headwinds around government funding, NIH in particular, some of the tariffs. We went out to over 100 customers and had a lot over 100 data points directly from them what they were seeing. That gave us a lot of confidence around guiding in terms of this 1% headwind we were seeing in our business. And a lot of our peers at the time were calling 20% issues around these headwinds. We were calling 1%. There was a little bit of disbelief in that, but we felt confident because we had the data. We have the data right now around this in particular around VOC. I mean, we are out with our customers. This regional go-to-market model allows us to get real-time data from our customers on what they're seeing in region, around specific programs in which we were supporting and or are supporting. So that gives us the clarity there regarding our point of view on it.
Vijay Kumar: That's helpful, John. And maybe one follow-up related on, I guess, Laurence, on the phasing. Looks like back half needs to be six or six plus. I guess, that confidence in the back half acceleration. Laurence, how are you thinking about EPS for the year? I know you gave them an EBITDA margin expansion. How should we think about any below-the-line items? And, you know, what should EPS be? Thank you.
Laurence Flynn: Yeah. Look. I think, you know, if you look at how we're less than 50% of our full-year revenue falls in the first half of the year. So generally, you're right. We feel really good about the second half of the year, Vijay. And why is that, right? As we mentioned, we've really invested in feet on the street, particularly in SMS, starting this year. Put in almost 20 commercial heads, and Gene was earlier in mid-fiscal 2025. On top of the price we talked about, that's all going to read through in the second half of the year. So we've got pretty good line of sight around that. In terms of EPS, look, our EPS is going to be better, right? And so it's roughly about $0.50 and $16 to $0.18 of other income similar to 2025.
Vijay Kumar: Sorry. If I may one more, if margins are up 300 basis points, right, is there some below-the-line impact? Like, why is EPS flattish year on year?
Laurence Flynn: Yeah. So EPS is going to be greater than 50¢. So the you know, we I guess maybe clarify that I'm really sure of your question, Vijay.
John Marotta: Vijay, the way to think about the way to think about how we look at value here is if you pull back and take a look at the way we're looking at value right now, we're trading at, you know, 10 times EBITDA. And we think we're undervalued right now. Dollars 12 of our stock is cash. And so we're focused around driving that margin expansion on the EBITDA line right now, and that's pretty important to us in terms of how we look at economic value. We do not typically guide on the EPS line right now. And so
Laurence Flynn: I mean, we expect it to be better than $0.50.
Vijay Kumar: Thank you, guys.
John Marotta: Sure.
Operator: Your next question comes from Brendan Smith with TD Cowen. Your line is now open.
Jacqueline (for Brendan Smith): Hi, this is Jacqueline on for Brendan. Congrats on the quarter. Maybe just doubling down on some of your expectations on timing for the potential M&A deals or tuck-ins over the year. What areas are you kind of looking to pursue in the near term, and how has the macro environment shifted your expectations on both when and where to?
John Marotta: Sure. Our focus around M&A has been pretty consistent. And that is on in regards specifically to tuck-ins and how we look at. So just to reiterate on how we look at capital allocation, first is around growth opportunities and capital allocation. So what are we doing to support our growth initiatives from an R&D perspective? Sales and marketing perspective, gross margin and productivity improvements. Third is around tuck-ins. And M&A. And fourth is around specifically share buyback. So parking on the M&A side, it's really expanding our core business. So the criteria around that's going to be specifically around SRS, expanding our scale in that space. We're really bullish about our target there and what our M&A funnel looks like. Second is around our automated solutions and driving some M&A around C and I and stores specifically. And then third around synthesis and how we're investing around synthesis. So I would think about those three areas in which we're looking at M&A. I would think about 2026 as being our year of executing on that specifically. '25 was really this reset building a stable foundation to be able to absorb those types of acquisitions right now. So that's the focus in those areas specifically.
Jacqueline (for Brendan Smith): That's very helpful. And then maybe just one more. Double-clicking on, you know, the automated stores, which seems to be on the upswing. How should we think about the near and long-term expectations for both the performance and customer spend of that line? And how contributed do you expect it to be in the future for rev growth in that SMS segment?
John Marotta: Sure. Consistent with the past. I mean, you know, when the macro starts to come back, I think you're going to see more strength in that segment. But we're also investing a lot in R&D in that segment in particular. And so that we won't see that read through until 2027-2028. We'll talk more about this in our long-term in our long-range plan in Indianapolis in December. On our Investor Day. We'll get into the particulars of this and we'll give you some more detail on it. But listen, we're investing behind this. We are not in the freezer business. We're in the automated solutions business. And what that means is you have highly, highly complex electronics in a cold environment some applications. For our customers. That's cryogenic. There's a lot of tailwinds around cryogenic cold storage because of cell and gene and the moves being made there. I mean 50% of the therapeutics coming out that are coming through FDA right now need ultra-cold or cold. And so we feel like we're well-positioned, and we're going to continue to position our product portfolio to enjoy those tailwinds. We'll get into that, of course, in Indianapolis.
Jacqueline (for Brendan Smith): Great. Thank you.
John Marotta: You bet.
Operator: Your next question comes from Paul Knight with KeyBanc. Your line is now open.
Paul Knight: Yes. Congratulations on the quarter. And I'm kind of hopping on to that same topic of stores. What do you think that market growth rate is? And I guess you're saying too that that's your probably biggest area for, you know, rolling up that part of the marketplace. So, you know, what do you think market growth is, you know, and relative to, you know, what are 10% biologic sales? Is that any kind of a proxy? And then again, you know, is this the key M&A spot? Thanks.
John Marotta: Always an insightful question. So you basically kind of link the two, which is what the way we like to think about it from an automated solutions perspective. So stores and cryo, we think are low single-digit right now. We're not in some of the veterinarian space as some of our peers are in cryogenic. We don't enjoy some of the vaccine tailwinds that are going on right now. What matters is, is when you've got an in-base that we have right now of hundreds of biological stores, plus the attachment rate of our consumables, which is increasing. I mean that business is really performing for us very nicely. And so you've got this attachment rate that's driving this data. The data output right now in the tools revolution is driving data. In our space, in our business, that is physical specimens. Okay? And so we see that read through with the attachment rate of our consumables and sample tubes. And that's pretty important here. Got 100% attachment rate on the service side, and we're driving more attachment rate on the C and I side. So to summarize, stores in cryo, low single in our segment of the market. And we're still an outgrowth story based on us capturing market share. And then you've got these attachment rates on C and I. I will tell you, I mean, I'm so proud of our team and what they were able to deliver last year in a really tough macro. And we saw that across all of the segments of our business. And in some of the areas that were challenged, the team needed to pull back and work on some things operationally, and we were able to do that. But we were also executing nicely on a lot of our attachment rates and installed base. C and I specifically we have tens of thousands of instruments out there. And so our attachment rates, we're working on that specifically, and you're seeing that read through as well. But it's a mixed story in terms of how we look at it. Hope that helps, Paul.
Paul Knight: Very much. Thanks.
John Marotta: You bet.
Operator: There are no further questions at this time. I will now turn the call over to John for closing remarks.
John Marotta: Excellent. Well, in summary, we entered '26 as a stronger company operationally, commercially, and culturally. I want to thank again, our employees, our customers, and our shareholders. We're excited about the road ahead, and we will certainly see you at Investor Day in December. Thank you again.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.